Operator: Good day, and welcome to the Fidelity National Information Services Second Quarter 2024 Earnings Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker, Mr. George Mihalos, Head of Investor Relations. Sir, the floor is yours.
George Mihalos: Thank you, Shereen. Good morning, everyone, and thank you for joining us today for the FIS second quarter 2024 earnings conference call. This call is being webcasted. Today's news release, corresponding presentation, and webcast are all available on our website at fisglobal.com. Joining me on the call this morning are Stephanie Ferris, our CEO and President, and James Kehoe, our CFO. Stephanie will begin the call with a strategic and operational update, followed by James, who will review our financial results. Turning to slide three, today's remarks will contain forward-looking statements. These statements are subject to risks and uncertainties as described in the press release and other filings with the SEC. The Company undertakes no obligation to update any forward-looking statements, whether as a result of new information, future events, or otherwise, except as required by law. Please refer to the safe harbor language. Also, throughout this conference call, we will be presenting non-GAAP information, including adjusted EBITDA, adjusted net earnings, adjusted net earnings per share, and free cash flow. These are important financial performance measures for the company, but are not financial measures as defined by GAAP. Reconciliation of our non-GAAP information to the GAAP financial information is presented in our earnings release. And with that, I'll turn it over to Stephanie.
Stephanie Ferris: Thank you, George, and good morning, everyone. Over the past 18 months, we have moved with a high sense of urgency to reposition the company on a sustainable path for growth and to unlock greater value for all of our stakeholders. We've taken bold actions to refocus the business and improve client centricity, to simplify our business and strengthen our financial position. In May, we hosted an investor day, the company's first in six years, where we set out to reintroduce investors to the new FIS, laying out our corporate vision to capitalize on our privileged position, powering the global economy by moving money seamlessly across the entire money lifecycle and the strength and durability of our business model across all economic cycles. As our second quarter results demonstrate, we are executing across the growth vectors we laid out at Investor Day to deliver accelerating profitable revenue growth and sustainable double digit total returns for shareholders. Within money at rest, we are seeing strong demand for our core and digital offerings. In core banking we are currently on track for a record year of new core signings driven by competitive takeaways and greater traction in the community banking market. In fact, for the first half of 2024, we've signed almost as many cores as we did in all of 2023. Within our digital business, we saw new sales growth of over 30% in the first half of 2024, highlighting the success of our cross sell into existing core customers and displacing competitors. Within money in motion our differentiated loyalty solutions and payments offerings continue to resonate in the market and we signed several new marquee partners in the quarter. We're also winning in the fast-growing treasury and risk market with further penetration in growth verticals such as insurance. Across money at work, we are leaning into our global distribution to win new business and seeing strong double-digit growth in our commercial lending business where we continue to see a long growth trajectory. So, in summary, we're executing strongly across all growth vectors and are seeing strong momentum across the business. I am pleased to report we delivered our sixth straight quarter of outperformance as we continue to execute against our strategy. Revenue growth in the quarter was 4% with acceleration across both banking and Capital Markets. We exceeded our profitability targets with company margins expanding by 110 basis points, driving normalized adjusted EPS growth of over 30%, well ahead of our outlook. Our strong first half performance is allowing us to once again raise our financial outlook for the year. Now, let me share with you some strategic highlights from the quarter. I am thrilled with the strong new sales momentum we're driving, including our cross-sell initiatives across the enterprise and the benefits we're seeing from our commercial relationships with Worldpay. Over the first half of 2024, cross sell activity across the enterprise grew an impressive 15%, as our sales transformation efforts continue to take hold. We're accelerating our go to market strategy with key partnerships and innovative new product rollouts. We recently teamed up with Curinos, a global data intelligence company, to provide FIS core banking clients with access to Curinos’ proprietary data and analytics. Helping them optimize their deposit gathering strategies and improve profitability. We also announced a partnership with Lendio, a leading small business financial solutions technology platform to streamline SMB loan processing for financial institutions. Also, within Capital Markets we launched our climate Risk Financial modeler, a best-in-class SaaS based solution, designed to help corporations, insurance companies and financial institutions assess and quantify climate risk across their portfolios. These are just a handful of examples of the ongoing product innovation across the company. We continue to return capital to shareholders and are well on track to deliver on our $4 billion of share repurchases commitment for the year. Additionally, our board recently approved a new share repurchase authorization of $3 billion. Across the money life cycle, we secured a number of high-profile new client wins. Beginning with money at rest, we sell strong demand for our core banking platforms with several competitive takeaways, including Third Coast -- Third Coast Bancshares, a leading Texas based community bank. Also within money at rest, Digital had another strong sales quarter as our offerings continue to resonate in the market. We expanded our relationship with a large regional bank with over $25 billion in assets that added its current breadth of products within our Digital One ecosystem. We also saw continued traction across money in motion, with new engagements across payments and loyalty solutions. Synchrony, a leading consumer financial services company, is partnering with FIS in enabling our premium payback loyalty solution. Synchrony joins a long list of leading card issuers who've selected FIS premium payback offering to help differentiate their value proposition in the highly competitive consumer credit industry. Our award-winning treasury and risk solutions also continue to see strong demand. This quarter a large US based life insurance provider selected FIS suite of risk and compliance tools. This represents a new relationship for the business as the team builds on its strong presence in the insurance market. Within money at work, we signed several new engagements across trading and asset servicing solutions and commercial lending. Newer, expanded engagements include Trustmoore, a global boutique corporate services company and a leading global private equity firm, both selecting FIS private capital suite, our award-winning private equity fund accounting software and reporting solution. Trustmoore, is a perfect example of how we're leveraging acquisitions to source and win new opportunities. The combination of FIS strong accounting and reporting solutions, coupled with the capabilities of recently acquired Deep Pool, an investor servicing software provider, were the deciding factors in allowing FIS to win a highly competitive sales process. Capital Markets continues to differentiate itself from its peers by further expanding into fast growing verticals and capitalizing on its global reach. In addition to our new wins, our efforts are being recognized by some of the most prestigious independent expert advisory firms and financial publications across the industry, with our treasury and risk solutions products winning top honors from both Global Finance Magazine and Treasury Management International. And CNBC once again named FIS a top 250 global fintech company. So, in summary, we reported another strong quarter and have good visibility into delivering our forward outlook given the durability of our highly recurring business model. Before I turn it over to James, I'd like to thank all of our colleagues here at FIS who continue to move the company's future forward. James?
James Kehoe: Thank you, Stephanie, and good morning, everyone. Overall, we are very pleased with our performance in the second quarter with strong execution across many vectors. We delivered broad based outperformance against our financial outlook and this allows us to increase our full year outlook for the second consecutive quarter. Adjusted revenue growth accelerated to 4% in the quarter compared to 3% in the first quarter, and adjusted EBITDA margin expanded by 110 basis points year-over-year, primarily reflecting continued cost savings and favorable revenue mix. Adjusted EPS was $1.36 in the quarter, up 79% compared to the prior year and growing over 30% on a normalized basis. Moving now to our balance sheet and cash flow metrics, total debt at the end of the quarter was $11.2 billion, with a leverage ratio of 2.6 times. We returned $1.3 billion of capital to shareholders, including share repurchases of $1.1 billion. Year-to-date, we have repurchased $2.5 billion of shares and we are well on track to deliver on our $4 billion full year target. Free cash flow was $504 million, with a cash conversion rate of 85%, and we are confirming our full year cash conversion target of 85% to 90%. Turning now to our segment results on slide 10, adjusted revenue growth was 4%, with recurring revenue also growing 4% in the quarter. Banking revenue growth came in at the high end of our outlook range and accelerated to 3% in the quarter. Recurring revenue also grew 3% in line with our expectations and we are confident recurring revenue growth will accelerate in the third quarter and for the back half of the year, reflecting strong execution and sales momentum. Other nonrecurring revenue grew 21%, reflecting growth in license revenue and deconversion fees associated with bank consolidation. Lastly, professional services revenue declined 13% year-over-year. We expect to see an acceleration in professional services growth in the second half as this revenue stream has stabilized and will reaccelerate in the second half of '24. Adjusted EBITDA margin expanded 140 basis points, primarily reflecting continued cost savings and favorable revenue mix. Turning now to Capital Markets, adjusted revenue growth was 7%, led by recurring revenue growth of 7%, excluding acquisitions. Adjusted revenue grew 6%, up from 5% growth in the first quarter. Other non-recurring revenue grew 15%, primarily reflecting growth in license revenue and professional services increased 2% in line with our expectations. Adjusted EBITDA margin expanded 60 basis points, reflecting operating leverage and growth in higher margin license revenue. Consistent with prior messaging, we continue to anticipate full year margin expansion across both segments. Turning now to our full year outlook on slide 11. Our strong year-to-date results good visibility into second half growth drivers positions us for another increase to our full year outlook. We are raising our full year EPS outlook by $0.13 to $0.15 to $5.03 to $5.11, reflecting normalized growth of 13% to 15%. This increase is driven by strong execution and broad-based favorability across multiple areas. Let's walk through the key changes on slide 12. We are raising our absolute revenue target by $20 million to reflect more favorable Forex impacts. Segment growth rates are unchanged. We continue to expect banking growth of 3% to 3.5% and Capital Markets of 6.5% to 7%. We are increasing the low end of our adjusted EBITDA range by $15 million, reflecting year-to-date out performance, and we remain confident in achieving our new full year EBITDA range. We are meaningfully increasing our EPS outlook, reflecting continued strong execution and broad-based favorability across depreciation and amortization, interest expense, shares outstanding and Worldpay EMI. Together, these factors are expected to contribute an additional $0.13 to $0.15 adjusted EPS with approximately $0.08 coming from Worldpay EMI. Importantly, we remain confident in delivering the 9% to 12% adjusted EPS growth we committed to at Investor Day. Let's now move to our third quarter outlook on Slide 13. We are projecting adjusted revenue growth of 4% to 4.5% for the third quarter, with banking solutions growth at 2.5% to 3% and Capital Markets at 7.5% to 8%. As a reminder, the banking outlook includes a significant rollover in non-recurring revenue. Despite the large non-recurring headwinds, we expect to deliver steady revenue growth driven by an acceleration in recurring revenue. Importantly, the combination of strong recurring revenue and a rebound in non-recurring revenue provides us with a high degree of visibility around fourth quarter revenue growth of at least 5%. For Capital Markets we are forecasting another good quarter of revenue growth with strong recurring revenue and a rebound in professional services revenue growth. Overall, we are projecting an adjusted EBITDA margin of 40.5% to 40.7% in line with our comments at Investor Day. This reflects a negative impact from a grow over in corporate expenses which were at their lowest absolute level in the third quarter of 2023. Adjusted EPS is projected to increase 35% to 39% to $1.27 to $1.31. We anticipate another good quarter for FIS and we remain highly confident in achieving our full year outlook. Let me now wrap up on Slide 14. In summary, we are encouraged by our financial results delivering our sixth straight quarter of outperformance. During the second quarter, we accelerated revenue growth and drove margin expansion across both operating segments and once again, we meaningfully increased our 2024 adjusted EPS outlook. Lastly, we returned $1.3 billion of capital to our shareholders, an increase of $1 billion compared to the second quarter of 2023. With that operator, could you please open the line for questions?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Ramsey El-Assal with Barclays. Your line is open.
Ramsey El-Assal: Hi, good morning and thank you for taking my question. You called out strong visibility to banking growth in both Q3 and Q4 and I was just wondering if you could kind of roll it all up for us and sort of pick apart what the drivers are there. And again, comment on your confidence level about hitting the full year guide, especially given the tough comp in Q3. Are there any levers or are you relying on any kind of events that are coming up to meet your target? Thanks.
Stephanie Ferris: Yeah, maybe I'll start and James can add in if he'd like. So, I would say we're very pleased once again with the strong performance in first quarter and second quarter with respect to banking revenue. As we look at the third and fourth quarter, we have a high level of confidence. I talked on the call about all the sales execution that we had in the back half of last year, which is giving us a lot of confidence in terms of the guide for the second half of 2024. I'll remind you that in 2023, we had a bit of a lumpy third and fourth quarter. But if you look at them together, first half versus second half, we are calling up the banking revenue and it's really on the back of stronger execution, stronger sales coming into the P&L, and just overall operational execution, and we feel really good about it.
James Kehoe: Yes. The only thing I would add is we were very good visibility into Q3. Effectively, we're in the quarter, so it's a very solid number and we have all the drivers to get to this Q4 growth in banking of at least 5%. Because maybe look back on prior year, the banking business was basically flat in the fourth quarter. So, if you look over at, if you look over a two-year period, you're probably in low single digit, on average compound growth rate over the two years, and you quite easily get to our 5% growth in the fourth quarter.
Ramsey El-Assal: Okay. And kind of a related question, as a follow up, it looks like recurring revenue growth slowed a little bit versus last quarter. Non-recurring accelerated pretty nicely. I know you commented a little bit on this already, but can you help us think about that algorithm and what we should expect going forward in terms of recurring versus non-recurring in Q3 and Q4, and how those two drivers sort of meet up to get you to your full year targets?
Stephanie Ferris: Yeah, I'll start again and James can add some color. So, from a recurring standpoint, as you know, we've been really focused on driving really strong recurring profitable revenue and trying to get adjusted revenue and recurring revenue over the midterm to more align with each other. Clearly, we have some variability in the prior years that we're going over, but first quarter to second quarter recurring revenue is slightly down because of a large West Coast bank that was sold out of receivership. You probably know it, that de-converted off of our platform in the second quarter. And so that coming off, which is what we expected, by the way, that was in the guide. And even with that, to James, what we feel really good about the back half of 2024. I think, as you know, in terms of non-recurring, we are growing over some pretty negative numbers last year. So, we're looking in terms of those becoming more flat to not negative. And I think if you look at our full year guide with respect to non-recurring, it kind of comes out to be flat year-over-year. So, I think what you should expect to see from us as we move into the midterm is recurring and adjusted revenue in banking become more in line. But we are dealing with some choppy prior year comparables that make some of the numbers go up and down. I, James and I look at first half, second half, both on a two-year basis and the prior year. And if you look first half, second half on a two-year basis, it's pretty consistent over time, both in terms of recurring and non-recurring.
James Kehoe: I think it's fair to say Stephanie has highlighted on the last couple of calls the strength we've seen in new sales, particularly in the second half of last year. And we did say back in the second half that you're going to see the benefits of that approximately six to twelve months later. And that's what we're seeing in the third quarter and fourth quarter. And, you know, encouragingly as well, the recurring sales on new sales are very strong in banking as we'll, so all signals are very positive on the banking business.
Operator: Thank you. One moment for our next question. And that will come from the line of Will Nance with Goldman Sachs. Your line is open.
Will Nance: Hey guys, I appreciate you taking the question this morning. I wanted to follow up on some of the comments in the script on, you mentioned, greater traction in the community banking space. I'm just wondering if you can kind of elaborate on what's been resonating with that part of the market, what products have been kind of key to turning that around, and just how you're thinking about the contribution of that segment to growth overall going forward? Thanks.
Stephanie Ferris: Sure. So, as you know, we've been really focused, as we talked about, in terms of new sales with respect to what's resonating. I would say broadly the strength of our cores and how those compete against our competitors, specifically in banks that are growing and have commercial banking customers. So, we have, as you know, we operate more in the upper part of the market and our core there, our IDS core resonates very well. And so, seeing a lot of momentum there as banks really focus on growing and as banks grow, typically have needs around the commercial banking customers. And we are best in class core there, I would say also digital, I highlighted digital sales. We've been making a lot of investment in our product set there, that is resonating very well in the marketplace. So, the combination of core and digital and payments, you know, I talked about at Investor Day really focusing in banking on growth verticals, which are the digital and the payments, they resonate very well. And then the package together with them fully integrated is really compelling in the marketplace. And, you know, as I said on Investor Day, I think we just had lost our way there. Over the last couple of years, we've been really focusing there and we're seeing it resonate in the marketplace as really a best-in-class product suite.
Will Nance: That's super helpful. And just to make sure I understand the commentary on the 5% recurring exiting the year, it sounded like you were kind of pointing towards that being like a relatively easier comp from the prior year. So, when we think about sort of the jumping off point, should we be thinking about somewhere sort of in between that level and where you guys are for the, sort of for the rest of the year?
Stephanie Ferris: I think if you look at the fourth quarter 5%, James mentioned, we feel really good about that. We're growing over zero in the prior year, so it's an easier grow over.
James Kehoe: But it was a 5% adjusted, 5% return. We probably will see recurring slightly slower because we are lapping a very strong recurring and banking in the prior year, I believe it was like 6.7%, 7% in the prior year. So, as you look at the fourth quarter, we still see good growth on recurring, but it will be slightly below the 5%. And what we said in the prepared comments, we will have a rebound in professional services, some other areas which were down significantly in the prior year. So that's why we have a fairly high degree of comfort around this. But it's a 5% on the adjusted group.
Operator: Thank you one moment for our next question. And that will come from the line of Darrin Peller with Wolfe Research. Your line is open.
Darrin Peller: Guys, hey, thanks. Nice job on the quarter. Just to follow up a little bit on the core strength on the banking side, again, you're saying you're on track for record core signings in '24 and then digital strength, I guess. Stephanie, when you think about where demand is today versus where it was the beginning of the year. And maybe just the timing of what these new signings can contribute. It seems like this would probably set you up at '25, if I'm not mistaken, just given the conversion timing needed on some of these. And so maybe just help understand and frame a little bit more high level on just where demand is today and what you've seen in the market. And then obviously the timing on some of that opportunity into next year. It seems like third and fourth quarter, you're convicted around from last year's and into early half this year. Right? So, these signings would contribute to 25?
Stephanie Ferris: Yeah, no, absolutely. So, first of all, I would say demand environment has been stable. So, it's been very stable and consistent in terms of if you're a bank that's growing and you are either growing organically or through M&A, you're typically needing a commercial bank capability. Remember, I don't operate down in the credit union space, so that environment is increasing in terms of the demand there. And then there is high demand, as you might expect, across everything digital, because that is how banks are now. Those are their channels to sell. So, they're making the overall technology spend demand is very stable. And where they're spending money is big into digital online account opening payments, which is where they're focused from a banking standpoint. We also announced a partnership that helps them really focus on deposit growth and profitability. So that's really where we're seeing demand. And you're exactly right, Darren. This is giving us a lot of confidence as we go into next year in terms of record signings and having a high level of visibility into the commits we made in our mid-term guide for 2025 and outward. So, feel really good about what the team is doing. We're not done here, but feel good about the environment, feel good about our competitive positioning and our product set specifically within core digital payments.
Darrin Peller: Okay, that's great. And just very quick follow up would just be for an update on the commercial relationship with Worldpay. It obviously came out better than we expected at your Investor Day, and it's been a couple of quarters now, and so maybe just a quick update on thoughts on how that's been trending and cross sell and partnership there?
Stephanie Ferris: Yes, no, it's been. First of all, I might just comment on Worldpay broadly. We feel really good about the separation of Worldpay. You can see in their numbers that, that team over there is operating the business better than we were when it was inside FIS. The commercial relationships with Worldpay are really strong and continue to be strong as we go to market together, and as we identify opportunities in different regulatory schemes where we can put, for example, the network, the network and the merchant relationships together, we will do that, where we can compete together around data. So, we landed as part of the acquisition of set of commercial relationships, and we continue to identify even more opportunities and we'll be finding those as well. So it's going very, very well.
Operator: Thank you. One moment for our next question. And that will come from the line of Dan Dolev with Mizuho. Your line is open.
Dan Dolev: Hey, guys, great results here. Thank you for taking my question. Can you, I mean, EBITDA margins were really strong. Can you maybe give us a little bit of a puts and takes of strong? Can you maybe give us a little bit of a puts and takes of the headwinds and tailwinds that went into EBITDA margin this quarter and then have a quick follow up?
James Kehoe: You know, I think we're, as we highlighted, as we gave guidance at the beginning of the year, we did highlight that the first half will be especially strong. What you need to think through is we're not seeing the full extent of this synergy with Worldpay, but we're getting significant traction on the future forward cost savings, which, if you recall, we started rebuilding margins in the second half of last year. So, margins grew very strongly in Q3 and Q4 last year. Incredibly strongly in the first quarter, second quarter here. And so, you look at it as very visible cost management across both businesses and in the headquarters. We still have a long Runway on this, so this is not, but it will taper off a little bit in the second half. The second one is revenue mix was pretty strong in both quarters this year, where we have more profitable, high license mixed. So, we're very happy about the first ever. We're on eight cylinders, literally on margins. And, you know, we remain entirely confident on our long-term goal of 40 to 60 bps margin enhancement going into the future.
Dan Dolev: Got it. Thank you. And then quick one on M&A. Can you give us a quick update on the pipeline? And were there any acquisitions you made in Q2? Thank you.
Stephanie Ferris: Yeah, no, we did. We didn't close anything in the second quarter. The pipeline, Dan, is very good. In fact, we like the economic environment as it sits right now. High interest rates and lots of macro pressure into potential M&A candidates makes them much more willing to sell makes them much more willing to sell at the right price. So, pipeline is good. Just as a reminder, we're very focused on or inorganic acquisitions where we have or need a product that we haven't been able to develop organically. We can add it to the platform and then push it through our very large distribution so it's accretive to revenue and margins as quickly as possible. So, continue to have a very healthy pipeline. That being said, we're very focused on return, on invested capital. So, we aren't a dying to put a transaction on, but we are very active and we think the market is very helpful right now.
Operator: Thank you. One moment for our next question. And that will come from the line of Jason Kupferberg with Bank of America. Your line is open.
Jason Kupferberg: Good morning, guys. So just coming back to the banking segment, a big part of the acceleration here in the second half is the ramp of the bookings from the second half of last year, as you mentioned. Can you talk a bit about just implementation efficiency? Sounds like there's probably been some improvement there. Maybe just talk about some of the elements of that. And are those now optimized, those kind of implementation timelines, or is there room for further improvement? Because it sounds like you're executing solidly to plan there.
Stephanie Ferris: Yeah, no, I think there's always room for improvement in terms of implementations, but I think we have a nice robust pipeline of implementations, and we need to make sure that we can add capacity to get them on faster. So that's what we're really focused on without adding cost. And so that's what the team is really focused on. But don't see any issues in terms of getting what we've sold onto the books in the back half of next year and the first half of next year as they come through. We have a very, very active backlog there, and the teams are working very well together. So, I think it's good. I always, as you know, Jason, me, I always think we should be able to go faster. So, the teams know that we're always working to become more efficient and effective. But I think that broadly, the teams, you know, once we sign it, even before it's signed, we start putting it in our backlog and making sure that we have enough people to implement it and convert it. Really happy with where the teams are now.
Jason Kupferberg: And then. Just a follow up. A big theme at the Investor Day was cross selling. I think you mentioned cross sell is up 15% year-to-date. Not sure if that's bookings or revenue, but which specific cross sell initiatives are you getting the most traction with?
Stephanie Ferris: Yeah, yeah. No, we're thrilled. So, 15. Yes, you're exactly right. It was a 15% increase in cross sell in the first half of 2024. That's ACV. Where we're seeing a lot of traction is like we talked about within banking, there's a big opportunity to cross sell digital and payments into our core clients. So, we've seen some significant wins there. We've also seen a lot of cross sell going on between our commercial lending and treasury products being cross sell into the banking business and then some of the banking value added services being cross sold into the Capital Markets business. So, we're seeing it. We're seeing it exactly where we would expect as we highlighted in the investor day. We think there's more opportunity here and we continue to focus, but we feel really good about where this number is trending.
Operator: Thank you. And one moment for our next question. And that will come from the line of Tien-Tsin Huang with JP Morgan. Your line is open.
Tien-Tsin Huang: Hey, good morning. Good results here. Just two questions. One on card processing. Just curious. With a lot going on there, litigation pushed out. I think Visa announced some new card products as well, like flex credentials. Is that having any influence on pipeline activity? And are you satisfied with your win share on the card side?
Stephanie Ferris: Yeah. All of that creates opportunity for us and for Worldpay as we look at both the merchant and the issuer side. We are a very big consumer and obviously sell the Mastercard and Visa products as they come through, enabling us to take share. So, I wouldn't say anything accelerated there, but we continue to look at the opportunities that those present and as you know, those do create more ways for us to win. I think in terms of the payments business, we're just starting to get our mojo back there in terms of really focusing and winning on new sales. As you know, that was one of the growth verticals for us and we got a little distracted, I would say, as we really, the company really focused on Worldpay. So bringing back the focus in banking and digital, to issuer, to the network, to the loyalty products, we're starting to see early wins in sales there. They're very competitive products and they're highly integrated with the core. So that's a lot of where we expect to see the cross sell. And we think any of that regulatory risk and opportunity is also a big opportunity for us as we look at that set of assets.
Tien-Tsin Huang: Okay, great. Just my quick follow up on the Capital Markets side, a lot of market volatility, up versus down markets, down market have any change in how you generate revenues or penetrate your traditional verticals? Just trying to revisit some of the old sun guard stuff, if you don't mind. Thank you.
Stephanie Ferris: Yeah, no, I would say our trading and processing business, it continues to trend well, as you know, those were some places. We added some of the acquisitions that add a product capability. I mentioned the Deep Pool acquisition that allowed us to win some of the key wins we highlighted this quarter. Nothing new there, continues to be a very strong business for us, continues to take share, and as a reminder, it doesn't, it doesn't price to AUM. It's very SaaS based with a very, very small amount of transactions going across the platform. So, no risk with respect to market volatility going on. But as you mentioned, there is a lot of transactions processing, and our platforms remain very stable and feel really good about the scalability of our overall platforms.
Operator: And one moment for our next question. That will come from the line of John Davis with Raymond James, your line is open.
John Davis: Hey, good morning, guys. James, on the free cash flow, I hear you reiterating the 85% to 90% guide this year, which implies well over 100% in the back half of the year. So, any comments there on kind of what gives you that confidence and then anything on 3Q, 4Q cadence?
James Kehoe : Yes. There's a lot of timing between the first half and the second half. For example, there's a misalignment, in that you're inclined to pay out your prior year bonus in the first half of the year, and there's no bonus outflows in the second half. Similarly, with the timing of interest -- cash interest that you pay for some reasonable contracts are more skewed to cash outflows in the first half. These are two examples. That shifts around 300 kind of millions between first half and second half in terms of change of trajectory. And with the benefit of hindsight, we probably should have gone out with our 85 to 90 and said it will be lower in the first half because that's what the plan said, and it will be much higher in the second half. So, if I adjust for these two or three timing items that are just naturally higher in the first half, between first and second half, I comfortably get to the 15 kind of number. But you're right, it does require a 1 15 in the second half, and we have good line of sight with that. Good question on growth, we're very focused on it.
John Davis: Okay. Great. And then Stephanie, a little bit of follow-on to Tien-Tsin's question. How do you think about the card processing business and maybe the Banking business overall? Maybe just remind us what percent of that is more transaction-based or it could be a little bit more cyclical in nature as we think about slowing spending in the US?
Stephanie Ferris: Yes. John, I was waiting for someone to ask me this. So I'll just remind everybody that Banking business has a payments business inside of it. A majority of that is related really around debit card transactions. So when you think about consumer spend volatility, typically, that's insulated in terms of everyday spend. We also price on transactions, so we don't get the benefit of inflation on the way up or on the way down. So we're protected from that. And broadly, I would say our debit processing business is -- against credit, which is smaller, trending just like the market. So stronger in the first quarter a little bit. Lighter in the second quarter and then July is a little bit lighter. But even with all of that, we're just not that exposed to consumer spend trends across FIS. And so when you think about just safety in terms of not having impact on consumer spend one way or the other, that's really what this Banking business now looks like, separating the Worldpay business out. And with all -- even with the consumer transactions coming down slightly, that's all baked in our guidance, and we feel good about the outlook.
Operator: Thank you. One moment for our next question, and that will come from the line of Dave Koning with Baird.
David Koning: Yeah. Hey, guys, nice job. And I guess, my first question, Capital Markets, a really good quarter. Ongoing good recurring revenue growth, but nonrecurring had, I think, the strongest growth in -- since 2021 or so. Is that part of the reason for a really good guide in Q3 and for the margin strength sequentially in Q2?
Stephanie Ferris : Yes. I think I'll start and maybe James can jump in. I think as we look at Capital Markets, they did have a strong nonrecurring benefit in the second quarter, which obviously helps both the revenue growth and the margins in terms of the contribution there. I think as you look out over the first half, second half in terms of 2024. We continue to feel good about the recurring revenue, and we are seeing a little bit of an increase in terms of the nonrecurring pieces that are contributing a little bit to revenue. I don't know, James, if you have anything else you want to add.
James Kehoe: Well, I think in general, you could look at it professional services in Capital Markets last year was down in most quarters. And as we said on the prepared, that stabilized. The growth has accelerated. So that's one driver. It went from like a negative 5% to a plus 5% kind of thing. And then what we are seeing is we're seeing good buoyancy in licenses, particularly in international. That's, I think, the different trend in Q3, and that's what gives us the confidence to call out pretty good pretty good visibility to that.
David Koning: Thank you. And I guess my follow-up, the Worldpay contribution was something like $150 million, I think, in Q2 and you're guiding to something like $110 million in Q3. Is that line item going to be lumpy like that? Or is there something in Q2 that was a little one-off, and the $110 million is kind of the baseline to think of in kind of future quarters?
Stephanie Ferris: Yes. And I'll again start and let James add in. I think what we're expecting to see with Worldpay is the EMI contribution, as they stand up their organization, would be a little bit lumpy as they add all the people into their organization and they take down the TFAS. So, I don't know that we could call a normalized number of $110 million quite yet. We feel really confident with the forecast they gave us, which they do give to us, and they're obviously outperforming that. But I think the back half them is really about adding and standing up the people to run the systems as they take -- get ready to take down the TSAs over 2025, et cetera. So, it's really investments they're making in the business as they stand those costs up.
James Kehoe: Yes. And I think the only thing I'd add is you -- we rely on the forecast they provide to us. We don't give the intense level of detail. But Stephanie is right, they've got standup costs right now. they have to making some select investments to drive future growth in the business. So, we all think it's a very doable forecast, and we're very confident in the full year projections we're doing today.
Operator: Thank you. One moment for our next question, and that will come from the line of Vasu Govil with KBW. Your line is open.
Vasundhara Govil: Hi. Thanks for taking my question, Stephanie, I wanted to follow up on the prior question about consumer spend, just given the macro concerns in the market. I know like you called out the FIS business is more defensive than the world pay piece. But if you could give us any sort of guidelines on how to think about potential sensitivity to the extent we do start to see some slowdown? And then the same question for the Worldpay EMI contribution, just given that, that business is more exposed to spend, any high-level views on how they might look to balance expenses versus investments if the macro were to slow down?
Stephanie Ferris: Yes. I mean I think broadly that the consumer spend is not impactful in terms of thinking about FIS as it sits today. We do make money on transactions. We don't see -- even if the transactions go up or down in terms of a point or point -- a couple of points over a quarter, it's just not material to the overall revenue impact because of how much revenue really comes from core and digital and the other pieces of the Payments business. So, they're really -- if you're thinking about consumer spend, we don't have a big impact from consumer spend in the payments business and banking. We just don't. And if you go back and you look at even 2020 and you strip merchant out, you'll see that I think revenue in Capital Markets even during those time periods, where consumer spend was almost at zero, revenue still grew in those businesses about 3%. So just to give you a bunch of confidence around that. I think in terms of the Worldpay EMI, I think what I would say, I can't comment -- I mean, you guys clearly know the Worldpay business well. They're obviously impacted by consumer spend. But I think what you're seeing even in terms of the revenue and EBITDA that they're posting in the first and second quarter is they're operating the business more effectively. The revenue growth is doing better because of the operational execution that they're bringing into the business. I think you can go back and look at the historical views of what happened to Worldpay revenue with respect to consumer spend, I'm not going to comment on that. But I do think -- and we're pleased with the Worldpay team over there and what the what they're focused on. And remember, they're really focused on driving operational execution into the business over the next 2 or 3 years, and making sure they stand up the business and they're ready to go and taking market share. I think their first and second quarter revenue would say that they're doing a good job on that.
Vasundhara Govil: Great. Thank you for the color. And just a quick follow-up for you, James. I don't know if I missed it, but did you give us the growth rates excluding M&A and dis-synergy in the quarter? And then just any change to the dis-synergy expectations either on revenue or EBITDA for the year?
James Kehoe : Well, we said that -- yes, we said -- sorry, I missed the second half. I'm just concentrating on the first. Basically, Capital Markets has an impact of 100 basis points in the quarter. The Banking business has zero contribution. So on a total level, it's almost a wash. I think it works out at 30 or 40 basis points of net contribution, so it doesn't even round up to a point. The second part of your question was?
Vasundhara Govil: Just any change to the dis-synergy expectations either on revenue or EBITDA for the year?
James Kehoe: No, nothing of any materiality. It's in line with expectations.
Operator: Thank you. One moment for our next question. And that will come from the line of James Faucette with Morgan Stanley. Your line is open.
James Faucette: Great, thank you very much. Thanks for all the details. A lot of my questions have been asked, but I did want to understand a couple of things that are happening. First, can you help us understand what's driving what looks like an expected acceleration in Professional Services in the second half and fourth quarter? Like what are the services you're expecting to pick up? And how do we think about durability of that?
Stephanie Ferris: Yes, I'm happy to take that in terms of what you're -- so professional services, if you look at the trends in the back half of last year stepped down. That was really driven by the lack of new wins that we had and we're converting. Professional services typically goes along with high levels of implementation. So, as you look at professional services revenue, it stabilized coming into the first half of this year and then it's continuing to be driven by our new sales implementations, whether it's core or digital or payments. And I think as you think about the back half of this year, it's an easier grow-over, but we have stabilized the number broadly, and it's really tied to new wins going into the platform.
James Faucette: Got it. And then on cost savings actions, anything left or any projects there that are still in flight? Or have the majority of action has been taken and so we're kind of at normalizing OpEx and expense run rates?
James Kehoe: No, I think -- and what you've seen when we gave guidance on the medium-term guidance, and reflecting the success with Future Forward, we actually said that we're facing TSAs that will be rolling off the business over the coming 24 months, and that gives us pressure on future margins. But we've basically signed up for annual savings of 165 bps to 175 bps a year. So, you should presume that the current performance, while it may tail off a little bit in the second half of this year, probably has a runway of 24 months. Because what we need to do now is we hope the TSAs rolling off, we have to resize corporate expense structures more in line with a company of $10 billion post the sale of Worldpay. So we do have a lot of cost initiatives looking forward. One of the items we did highlight on the call was how do we apply GenAI and automation across all of the functions in the company to drive favorable costs, but also to improve customer service and drive new sources of revenue. So, in summary, I think we have a fairly long runway, probably 24 months on cost reduction because we have the TSAs to eliminate. And we've actually already started working on this, we have an active program. And we're probably ahead of the curve in terms of identifying cost initiatives going forward.
Operator: Thank you. And we do have time for one final question, and that will come from the line of Ken Suchoski with Autonomous Research. Your line is open.
Ken Suchoski: Hey, good morning. Thanks for taking the question. I wanted to ask about the $4 billion repurchase outlook. The company did $2.5 billion year-to-date, including $1.1 billion in 2Q. So, it seems like you're well on track to hit your $4 billion target for the full year. Maybe just talk about your appetite to continue the pace of buyback that we saw in 2Q? And could we actually end up above that $4 billion target that you called out? Thank you.
James Kehoe: No. I think -- so that leaves $1.5 million for the remainder of the year, you should assume there will be a skew to the fourth quarter. So, you could simplistically say, one third, two third. The reason being is, to hit the $4 billion, we have to repatriate some cash internationally. And I think we said it on one of the prior calls that we expect this repatriation in the fourth quarter. So, to the extent we can get cash in sooner, we'll do it sooner. But right now, we kind of have a skew to the fourth quarter.
Ken Suchoski: Okay. Great. That's really helpful. And then maybe just as my follow-up, I wanted to ask about Worldpay. I know it's a smaller part of the business, but what's allowing you to raise the EMI contribution related to Worldpay? I think you said it added $0.08 to the EPS guide. I think if I have the numbers right, Worldpay revenue grew 3% year-over-year, but I think EBITDA was down mid-single digits. So, any thoughts on how that EMI contribution is increasing would be great.
James Kehoe: Yes. We look at it kind of differently. We're looking versus our prior forecast. And I can tell you that the beat is coming equally from EBITDA and interest expense. There is some refinancing a couple of weeks back, and that is delivered and locked in some future savings. And then -- but an equal amount is coming from EBITDA. So, they're actually doing quite well, I would say, on the margins as well. So, it's not just a revenue gain. So, we're very happy, and it's good quality improvement in minority in case of Worldpay.
Stephanie Ferris: I think they also did a refinancing in the second quarter that is delivering some nice EMI for us and for them as well.
Operator: Thank you all for participating. This concludes today's program. You may now disconnect.